Operator: Good afternoon, ladies and gentlemen. And welcome to the Acacia Research First Quarter Earnings Release Conference Call. At this time, I’d like to inform you that the conference is being recorded, and that all participants are in a listen-only mode. At the request of the company, we will open the conference up for question-and-answers after the presentation. I will now turn the conference over to Mr. Matthew Vella. Please go ahead, sir.
Matthew Vella: Thanks, Don. Good afternoon. Today’s call may involve what the SEC considers to be forward-looking statements. Please refer to our 8-K, which was filed with the SEC today, for our forward-looking statement disclaimer. In today’s call, the terms we, us, and our, refer to Acacia Research Corporation and it’s wholly and majority owned operating subsidiaries. All patent rights acquisitions, development, licensing and enforcement activities are conducted solely by certain of Acacia Research Corporation’s wholly and majority owned operating subsidiaries. With me today are Clayton Haynes, our Chief Financial Officer; Jaime Siegel, our Executive Vice President of Licensing; and David Rosmann, our Executive Vice President of Strategic Licensing was with us to fill questions about his team’s fine progress in licensing our VoiceAge portfolio. Clayton will start our call by taking you through the numbers for this past quarter. Clayton?
Clayton Haynes: Thank you, Matt, and thank you to those joining us for today’s earnings conference call. As detailed in our earnings release today, Q1 2015 revenues totaled $34.2 million, as compared to $12.6 million in the comparable prior year quarter. Q1 2015 revenues were comprised primarily of 23 new license agreements executed in the quarter, as compared to 20 new license agreements executed in the comparable prior year quarter. As we have discussed on previous conference calls, license fee revenues continue to be uneven from period to period. For the first quarter of 2015, we reported a GAAP net loss of $13.1 million or $0.27 per share versus a GAAP net loss of $24.4 million or $0.51 per share for the comparable prior year quarter. On a non-GAAP basis, we reported net income of $3.2 million or $0.06 per share as compared to a non-GAAP net loss of $5.2 million or $0.11 per share for the comparable prior year quarter. As discussed on previous conference calls, non-GAAP net income or loss excludes the impact of certain non-cash charges and non-cash tax benefits. Please refer to our disclosures regarding the presentation of non-GAAP financial measures in today’s earnings release and 8-K filed with the SEC. On a combined basis, inventor royalties and contingent legal fees expense increased primarily due to the 172% increase in related revenues quarter-to-quarter and on average higher average inventory royalty rates, primarily due to lower average levels of costs recovery related preferred returns for the specific portfolios generating revenues during the first quarter of 2015, as compared to the prior year quarter. As a result, average margins for the first quarter of 2015 were 59%, as compared to 80% in the comparable prior year quarter. Litigation and licensing expenses were relatively flat quarter-to-quarter down 4%, reflecting comparable net levels of licensing, litigation, support and strategic patent prosecution activities period-to-period. These expenses will fluctuate period-to-period based on future activity levels occurring in those periods. MG&A expenses, excluding non-cash stock compensation charges, increased 6% quarter-to-quarter, due primarily to an increase in variable performance-based compensation costs consistent with the increase in revenues quarter-to-quarter. Q1 2015 non-cash stock compensation charges decreased $1.5 million or 32% due to an overall decrease in the grant date fair value for the shares expensed during the quarter and a decrease in the number of shares vesting for current employees. First quarter 2015 non-cash patent amortization expense decreased $1.4 million or 10% due primarily to a reduction in patent portfolio impairment charges in the current quarter, which was partially offset by scheduled amortization on new patent portfolio investments made since the end of the prior year quarter. From a cash flow perspective, we ended Q1 2015 with $165.6 million of cash and investments versus $193 million as of December 31, 2014. Q1 2015 patent investment-related upfront advances and scheduled milestone payments totaled $16.9 million, as compared to $1 million in the comparable prior year quarter. Cash outflows for Q1 2015 also reflect quarterly cash dividend paid to shareholders totaling $6.4 million. Looking forward, for fiscal 2015, we continue to expect fixed MG&A excluding non-cash stock compensation charges to be in the range of $28 million to $30 million. Based on current outstanding grants of restricted stock, we expect scheduled non-cash stock compensation charges for fiscal 2015 to be approximately $13 million. For fiscal 2015, we expect patent-related litigation and licensing expenses to be in the range of $35 million to $37 million depending on net patent portfolio litigation, international enforcement and strategic patent prosecution activities occurring during the remainder of 2015. Excluding future 2015 patent portfolio investments, scheduled fiscal year 2015 patent amortization expense is expected to be approximately $52.2 million. Thank you again for joining us today. I will now turn the call back over to Matt Vella.
Matthew Vella: Thanks Clayton. Acacia continued its mission of charting for its patent partners, a path to financial returns for the unauthorized use of their patented technologies. To date, we have earned well over $1 billion of license revenue and have returned nearly $691 million to our partners, our customers. We remain confident in our strategy and operating focus and continue to expect revenue to ramp through 2015. For the past year and half, we have consistently told you, our shareholders, that the rapid onset of approaching trial dates from any of our most important portfolios historically results in significantly enhanced revenues. Heading into 2015, Acacia was optimistic that California February trial dates for Adaptix handset portfolio would lead the way to exciting new licensing opportunities in the first quarter. The postponement of the California handset case for Adaptix, however, resulted in the March German trial dates for our VoiceAge portfolio leading the way to new licensing opportunities and that same portfolio being the revenue driver in the first quarter. The results from the initial German VoiceAge trials have been very encouraging. Acacia prevailed on our first VoiceAge trial in March, leading to several new license agreements. Some of those agreements commended upfront license fees that accounted for much of the $34 million of revenues we recognized this quarter. Significantly, some of those agreements commended ongoing royalties which though not significant contributors to our revenues or earnings this quarter, are expected to be significant contributors to our financial results for many quarters to come. At our various portfolio licensing programs, development progressed towards trials. Pricing around each of our portfolios becomes more established. Acacia therefore continues its commitment to provide enhanced licensing information that facilitates improved modeling of our financial outlook. Specifically, since our VoiceAge trialing, using rate tables we have already posted to our website and publicly available market data, we can provide the following VoiceAge information along with some associated implications applicable to other portfolios. Number one, we’re licensing the VoiceAge portfolio at rates ranging from $0.20 a unit to $0.40 a unit. Depending on several factors, including the application being license and the applicability of various discount factors, through its early adopter discount and volume discounts. As unit pricing on our other 8 plus marquee handset portfolios begin to solidify, we shall also endeavor to share that pricing with you. Number two, we believe the VoiceAge portfolio will cover roughly 120 million units licensed and unlicensed in 2015 and covered countries outside China. We think that annual coverage will increase past 700 million units licensed and unlicensed by 2019. Again with patent coverage excluding China as high def voice begins to appear in virtually all handset shipping in America, Western Europe and Japan. In one sense, as in the case with the rest of our smartphone portfolios, the foregoing unit count scenario is the worst-case outcome for us since it assumes static market shares being maintained by smartphone vendors, which is not our operating assumption given what we anticipate will be a significant rise in the market share of Chinese smartphone vendors and developed nations in the coming years. Specific coverage rates for other handset portfolios will vary according to their individual features and trial outcomes. We’ll also be made known as our litigation for those portfolios mature. Number three, the major patents of the VoiceAge portfolio have four to seven years of life remaining. The amount of time left on the major patents of our other portfolios will vary. That can be presently determined by looking at patents that are the subjects of present and future litigation for each of these other portfolios. We think the foregoing information is helpful in modeling the value of our smartphone marquee portfolios going forward. Turning to our portfolio sourcing activities. Though we did not acquire rights to any new portfolio this quarter, the opportunity to source additional portfolios remains excellent. Our pipeline is presently filled with several large and promising opportunities for the technology, automotive and energy verticals. We still expect the intake of marquee patent portfolios to continue and we are still targeting ‘15 to ‘17 marquee portfolios by the end of 2015. Turning to our revenue outlook, Acacia's trial calendar remains well populated. Notwithstanding litigation delays, our company experienced this past quarter. We think our major trial dates remain basically on track and as we showed again this past quarter with our VoiceAge portfolio, trial dates tends to be correlated with licensing revenue opportunities. Accordingly the regular cadence of trial dates in our litigation calendar bodes well for a return to a much improved revenue outlook. As we have mentioned before, the overall quality of our trial calendar and therefore our confidence in our company's future, including strong revenue growth in 2015 and beyond, has not fundamentally changed. We are also pleased with this quarter's emerging mix of ongoing royalty and upfront license agreements, which if it continues to emerge will provide Acacia shareholders smoother quarter-to-quarter revenues and income. We have spend some time on prior calls describing the collective strength of our marquee portfolios, such as Adaptix and VoiceAge by describing the significant ramp in a number of patent cases Acacia has come into trial in 2015. That information remains available for you to see at the portfolio page of our website. A glance at this page shows that our trial calendar and outlook remained strong. This means that even when litigation delays occur, as happened to us this past quarter with our Adaptix portfolio, Acacia's business is diverse and resilient enough to absorb such delays. Acacia is not holding to anyone patent portfolio. A setback impacting a subset of defendants in one portfolio in no way lessens the opportunity regarding other defendants on the same portfolio. Let alone the opportunity for other completely separate portfolios. In short, Acacia has amassed a rich and broad set of high-quality patent portfolios, each having a material degree of depth and robustness and is contributing to one of the deepest, most diverse and most resilient collections of patents in the industry. On the regulatory front, new patent legislation and the patent into law of the Goodlatte Bill seems to have slowed down at least for the time being. We think that the current regulatory environment is successfully addressing abusive and frivolous patent litigation. That is the assertion of weak or questionable patents against vulnerable licensees at shakedown prices. Our stance remains the same with respect to any additional legislative or judicial initiatives. We generally support changes that will eradicate abusive and frivolous patent litigation, even when such changes make it more challenging to consistently source high-quality marquee portfolios. Acacia has always benefited from any change. The unintended effect of which is to increase the complexity, expense and financial risk of patent litigation. In such an environment, patent owners will choose to de-risk legally and financially by turning to Acacia as their preferred patent licensing partner. In conclusion, over the past several quarters, Acacia has continued to pursue its marquee portfolio strategy, holding in on a smaller number but ultimately more financially rewarding to the patent portfolios. This strategy remains in place. We continued to believe that these marquee portfolios with highly defensible claims, reining on high revenue markets will be significantly more rewarding for our customers, as well as for Acacia and our shareholders. And we continue to believe that Acacia remains well-positioned for high-caliber long-term performance. Thank you for your ongoing interest in and support of Acacia. Operator, we can now open the call up for questions.
Operator: Thank you, sir. [Operator Instructions] And our first question will be from Mark Argento with Lake Street Capital Markets.
Mark Argento: Good afternoon, guys.
Matthew Vella: Hi Mark.
Mark Argento: Congrats on a pretty solid quarter. Maybe you could talk a little bit about the ongoing royalty stream going forward and I know you obviously want to stay away from specifics. At the same time, I also understand from a modeling perspective where these one year, three year, five year deals, any type of incremental information you could provide around how we should think about these ongoing pieces of licensing revenue? And then also, Clayton, if you could maybe walk us through how this gets accounted for on the balance sheet or the cash flow statements?
Matthew Vella: The agreements we concluded are going to really keep going for the life of the portfolio. In the case of VoiceAge, that really averages results of our five years. So that’s the answer to the first question. We expect to keep collecting royalties throughout that period, as long as people keep selling high-def phones, which we obviously think is going to happen. So the accounting question, Clayton?
Clayton Haynes: Sure. Sure. With respect to the accounting, as part of the component of some of those agreements, there are reporting requirements that the licensee has and we will account for the revenues based upon those reports as we receive them throughout the life of the agreement.
Mark Argento: Do you have to carry deferred revenue on the balance sheet line, or maybe walk us through anything you could point to on the financials?
Clayton Haynes: Sure. Sure. So with respect to these types of earning royalties, there will not be deferred revenue. Basically, we are booking the revenue for the previous quarter as of the end of each quarter and so as we get those reports of those revenue dollars are going to be earned and recorded at that point in time, there will not be a deferral and amortization of amounts into the future.
Mark Argento: All right. And then, Matt, you had said that these kind of the royalty rate is $0.20 to $0.40 a unit, 120 million units kind of the TAM or applicable market in '15, most likely growing to $700 plus million. So I think you’re telling us that there is an opportunity for growth in this recurring or running royalty line?
Matthew Vella: Absolutely. And that’s why we are so happy with David’s work on this portfolio.
Mark Argento: All right. Last question for me, and then I will hop back in the queue. In terms of the strategy on the running royalty piece and these types of licenses, obviously are we going to -- should we anticipate additional deals that look like this, in particular in the handset space?
Matthew Vella: I think so, yes. And I know that David think so, I think are exactly working on these marquee portfolio and so on. And they are not all going to be like this, but a lot will be like this, because when the amounts get bigger, companies start to think twice about lumping everything into a fixed fee that assumes static market shares. And so they are going to want to be able to hedge a little bit in case their shares come down. And so that’s why I think you are going to see a shift to these running royalty agreements.
Mark Argento: Do you think if you shift towards more of these ratably recognized running royalty agreements you see any anticipation in terms of lower litigation or legal expenses running in, in anticipation of reaching these types of agreements, meaning could you get to an endpoint sooner rather than later and maybe save some expense?
Matthew Vella: I think the analysis is decoupled. And what I mean is you have to get someone to pay and that has a certain cost, right. And then once they agree to pay, they will choose an upfront fee agreement or running royalty agreement. So treat those as two very different costs, two very different activities. The two are quite disconnected. So if that’s where you are going with the question, then the answer is going to be that, you are not going to really see a change in costs. Now with VoiceAge, just to make an example we’ve had revenues where they come in almost right away with no costs. And we’ve also had revenues where we’ve had to spend the modest amount of money on German litigation. Coming to VoiceAge, specifically, we think it’s going to be a very high margin portfolio for us not so much because they are running royalty deals, but because the litigation has gone very well in Germany, which is a relatively lower cost avenue for us and that successful litigation is going to lead to faster deals. So that’s why we think we are going to have great margins on that portfolio not so much running versus fixed fee deals.
Mark Argento: All right. Thanks, guys.
Operator: We will take our next question from Bryan Prohm with Cowen and Company.
Bryan Prohm: Hi. Good afternoon, everybody. Good job on the quarter.
Matthew Vella: Thanks. How are you?
Bryan Prohm: I am fine. Thanks. I have a couple questions. First, following up on VoiceAge, since that’s going to be the topic is what I think. So Huawei, Sony, Amazon all settled, there another three I think still to come. How should we look at that cadence of potential settlements through the end of the quarter? And I see you have some restricted cash in the balance sheet. I assume that’s for the injunction. And that, I mean, are you confident? Now in your opening remarks, you said that VoiceAge was the key driver in the quarter just reported and you expected a revenue to ramp through '15, I mean does that -- is a takeaway from those comments that we’re confident we can get those VoiceAge deals done between now and the end of June?
Matthew Vella: I will turn the question over to David. Before then, I will say one thing the restricted cash is from the bonding requirement with the injunction. David?
David Rosmann: Yes. We’ve actually entered into five settlements, substantial settlement agreements on the VoiceAge front over the past three months and we are continuing to work on a whole number of additional settlements. We are engaged with several companies actively and reaching license agreements. And certainly as we gain momentum with the first players, it makes it much easier to continue that momentum on with the others. And so we expect that momentum to continue. We’ve had one decision out of Germany, our first trial went forward and early in the year, the Court came back and gave us a very good result initiative injunction on the first of six patents to go forward. Those remaining five patterns are actually going to be going forward over the next two or three months. So those activities have a tendency to focus companies on really engaging in substantive licensing discussions and we actually are engaged in those discussions pretty deeply.
Bryan Prohm: Okay. So it seems like there is a lot of near-term activity here that could result in some deals. Second question then for you Matt, so there has been a pretty healthy M&A trend in tech from the beginning of the year. Specifically given the fact that Nokia is a strategic partner, what are you -- what’s the read through on the potential intact of their M&A activity that we’ve heard about in the last several weeks and also the potential break of the company selling your mapping business, your Maptech business. Does that expedite the resolution potentially the Alcatel-Lucent trial on Adaptix on the base station side?
Matthew Vella: The mapping transaction to take the easy one out that is needed hearing over there for us.
Bryan Prohm: No pun intended right.
Matthew Vella: Well played. The Alcatel-Lucent merger has no impact on our forecasting, our expectation for the portfolio. You can imagine, however, how interesting it would be for us to be moving forwards with an assertion using Nokia-Siemens patents against what a parent is going to be a subsidiary of Nokia-Siemens. I think that must have reached a resolution, but certainly it’s an interesting fact patent that tends to lead the resolutions.
Bryan Prohm: Understood. That’s great color. Thanks. Last question for me. You had several adverse summary judgments in the first quarter. Can you give us quick heads up on where things stand on the Adaptix trials and E.D. Texas on the headset and on the base station side Ericsson and LG specifically, I think there is summary judgment really pending one of those? Thanks.
Matthew Vella: We think it’s all systems go on all those trials. Summary judgment motions, that’s the norm, you are going to see those leading up to the trial, and we don’t think that any of those trials that are going to effectively get impacted by as result comes on those summary judgment trial, on the summary judgment motions.
Bryan Prohm: Understood. Some of those trials have actually split from Q2 to Q3. Is there any potential risk that this will further or are you pretty confident that this is going to trial in Q3?
Matthew Vella: We are confident. You never know because scheduling is subject to so many this confusion changes. But from the information we have, we expect these trials to go forward in the Q2, Q3 timeframe.
Bryan Prohm: That’s great. Thanks. I’ll jump back in queue if I had more questions. Thanks, guys. Good luck.
Matthew Vella: Thanks.
Operator: We’ll take our next question from Darrin Peller with Barclays.
James Berkley: Hi. Congrats on the quarter. And congratulations on the VoiceAge. Just a couple of quick question, this is James Berkley for Darrin. Could you just given the comments you made around Germany on Adaptix. Could you just to elaborate what you’ve done in Japan in terms of increasing investment there and why Japan maybe were sort of markets and what other markets you’re considering beyond that, if any globally? And just how should we think about this is just a global market in general?
Matthew Vella: Yes. Japan has been a very, very pleasant. I want to see surprise. This has been a very pleasant outcome for us so far. Our team has done a wonderful job reaching out and engaging with Japanese prospective customers and they’ve done a terrific job continuously sourcing patents from Renaissance, which is the amalgam of Mitsubishi, Hitachi and NEC. So we are very excited by the progress they're making there. And we think that Japan is an especially interesting market for us, because it’s gone from being a net importer of IP to the net exporter of IP. And so with the fiscal practice in place in Japan along with more importantly, the Japanese record of brilliant innovation that is tend to be capture in patents. We’re very bullish on that market and we are very glad that we built up our team there. And our leader in Asia, Hiro Seki deserves much of the credit, the bulk of the credit for our progress there. Speaking about patent markets worldwide, my view is there are importers of IP and the exporters of IP on a country by country basis. The exporters of IP are where the customers exist and obviously America is one, and Japan is one, and Western Europe, it certainly has a number of them as well. Over time, we’re starting to get a sense that that might be shifting was obviously more interesting IP coming out of China. And so that is a very exciting avenue of growth in the three, five, seven year period for us. But as of right now, we are focused on primarily America, Japan and Western Europe.
James Berkley: That’s great. Excuse me. Thank you. I guess, just lastly, just talking -- thinking about any additional plans for cost takeout, I know your guidance implies some savings on the MG&A line excluding stock comp there. Just -- maybe just speak to the progression that you’ve made there. I know you had like -- excuse me -- $5 million for the savings last year. And your marquee portfolios keep increasing and I think you spoke that productivity and efficiency gains as well as more complex environment happen to drive your future revenue opportunity going forward and just trying to think about all those moving parts?
Matthew Vella: As I mentioned in the last quarter and I think -- Daren might have asked the similar question. We love our model from a cost perspective because we can leverage it quite successfully. We think that SG&A costs are at a high-watermark at least in terms of how we configure. We think the litigation costs are at or near high watermark, but most importantly we think that with that exact cost structure, we can drive our revenues to much, much higher levels. And so we expect to be able to ramp up revenues and accordingly ramp up earnings in the coming quarters and we’re excited about that.
James Berkley: Great. Thanks a lot.
Operator: [Operator instructions] We’ll take our next question from [Jeff Goldfarb with Indica Group] [ph].
Jeff Goldfarb: Hi Matt.
Matthew Vella: Hi.
Jeff Goldfarb: I am sort of scratching my head here. You trumpet returning $690 million via partners or customers. Your shares are down about 50% year-to-date that includes 25% [indiscernible] Adaptix on January, where you appeared to express your view that the market was overreacting to the ruling at that point. So please excuse my frustration but funny, how kind of hard it ends up about how much cash return your IP counterparties here. In this case, it was not Amazon.com where happy customer equates to happy shareholder. Your business is under a lot of pressure. You’ve lost the confidence of many of your shareholders and actually your shares are extremely under value but to be honest, using your credibility here by focusing on returns to your partners without even a past acknowledgment of the shareholder value destroyed in last few months. If you could just try to help me understand how you think about potential capital return or some other stats of enhanced side of your holders in particular how are you thinking about the possibility of returning capital to your true partners? I do understand you need to retain some cash in the balance sheet especially good potential for reform in horizon but just explain why it’s not feasible to consider what share the current levels you seem to in a buyback but even a third of your cash flow balance sheet? And in addition if you could just speak to how you might feel providing some guidance? You provided a lot of detail on the cost structure, so I was going through cost structure for the year but is there a reason why you couldn’t provide even in a wide range of bracket to potential -- revenue potential for the next year or 18 months because of the guidance that you are currently providing, it’s just not sufficient to demonstrate the holders that you are doing anything but destroying shareholder value?
Matthew Vella: Well, let me answer, well I think on a number of questions. I think I will call them all with four points, five points. One, I do think the market’s overreacting but that’s my thought. And so our job is to convince the market otherwise. Two, we have been returning cash, quite a bit of it through dividends. Three, we are actively -- the Board is actively considering a buyback. Four and perhaps most importantly, we’ve been on a journey in the last two years where we’ve told you what we are going to do and we are doing exactly what we said we are going to do. We found ourselves without a lot of trial dates a couple of years ago and we had to build the trial calendar back up before we collected given the current regulatory environment. We told everyone that we didn’t expect the trial dates to start collecting and resulting in revenue until the first quarter of this year, the quarter that just passed. And yes, we did have an unexpected setback on one matter, which was a big one but it was a delay. But overall the plan is still on track as far as we can see internally. So effectively, the cash streams that we expected to generate, we still expect to generate and we still expect them to be generating in the near-term. As for the revenue potential, we're doing our very best to give you that information. The constraints we ran up against is, if we give you revenue potential, we run into issues with that messaging being used in litigation against us. And just to reiterate because this is something that people have been asking the leaders of our company for many, many years and we’ve given responses consistently the same way every time and her comes the same response again. If I were to tell you that we can get $2 a handset, what I’m doing basically is capping the number we can put up in the litigation is $2 a handset. And unfortunately, the way litigation woks in this country is we have to put up a number, the other side puts out the number and juries tend to come up with a number in between. For us to put a forecast you can rely upon would be fracturing ourselves in the foot, which we can’t really do. Now what we've done is we've laid out where possible and we did this and we just call it just pass. If you look closely at what we told you about VoiceAge, we positioned it as one of seven or eight smartphone portfolios. We put pricing out there on that portfolio, which should help you model, which should happen on VoiceAge and we are telling you how much years of life are left in that portfolio. And we are also signaling that VoiceAge is kind of like a middle of the road portfolio. It’s not our most valuable. It’s not our least valuable marquee. And so effectively, we are doing our very best to give you the information that I agree you do want that you do you want to use the model. But we have to give it to you in a way where we don't shoot ourselves in a foot and what becomes effectively a self defeating move to give you informations that eventually becomes -- immediately almost becomes garbage because it’s used against us in trial.
Jeff Goldfarb: Okay. Matt, I do appreciate it, but you can’t say things are going to bind you, your trials I get that. But there is few folks who are out there modeling your earnings or revenues. They have no idea. And if I look at 2015 consensus, so I think $165 million in revenues. You recently put out a bracket range. Let’s just say you probably would do somewhere between 150 and 300. Obviously, you put out the dollars per handset or you put out 300 at the high end of the range. I mean, how could you defend and use that against you on a case that can harm you? I am failing to understand that?
Matthew Vella: Well, I’ve got a really simple answer for that. We plan on putting up a royalty rate on several trials this year that would result in a royalty flow of more than $300 million. So if I put up $300 million, I can’t put that rate up.
Jeff Goldfarb: Okay. Okay. I appreciate that. Thank you, Matt.
Operator: We’ll take our next question from [David Huff] [ph], a private investor.
David Huff: Hi, guys. Great quarter. Was really, really good start with VoiceAge. A quick question on the VoiceAge, is there a second trial in Germany with different defendant? I see some U.S. cases that were filed and I haven't seen documents from Germany? I just want to confirm that?
Matthew Vella: Yes. There are and there are -- the patents have been divided up in the multiple trials. The trial on the first two patents on Manheim went forward early in the year. We have trials in Manheim on the other four patents going forward over the next two months in May and June. We also have trials scheduled for Düsseldorf in next January and we have a trial that were -- we believe is going to proceed in Munich on as early as August of this year. So in the very near-term we have multiple trials against multiple parties proceeding forward. All of the one of the really effective parties and Manheim have actually settled. So even though we have remaining trials scheduled, we may actually be done with our activities in Manheim and moving on to our trials in Düsseldorf and Munich.
David Huff: Is novelty trial scheduled as of yet for the first one?
Matthew Vella: I don't have novelty trial scheduled yet, but there are, of course, as you know in Germany, there is the liability trial that goes forward and the novelty proceedings which proceed through a different mechanism. And those are going forward date lag significantly far behind. It’s worth noting that. And the one decision that we’ve received out of Manheim, the court in reviewing the merits of the cases decided that not to stay the injunction in that case based upon the novelty threat. So in that case the judge did not feel that the novelty threat treat to that patent was significant enough in order to stay at the heat, in fact order in injunction. And we feel pretty good the second patent that was tried as well based on the trial. So there are the novelty precisions activities typically lag significantly the infringement mandates, but there’s a lot of activity in Germany, definitely.
David Huff: If someone, I guess, if they would play chicken and wait for a final novelty ruling and who’s that win we’re going to see someone at the top of the range, the $0.40 range?
Matthew Vella: I think that’s right and because what we try to do and in order to facilitate our settlements and encourage other parties that we’re settling with is we will provide discounts to those folks that they’re willing to settle early. If someone decides it’s in their interest to take us to the very end then that discount isn’t -- this isn’t going to be available to that. So yes, we will provide a discount to reflect an early settlement and as well as, for other factors. But if someone does take us to the bitter end, we -- those discounts simply won’t be available.
David Huff: Do you plan on continuing to post the translated documents on the website?
Matthew Vella: Yes. We’re going to provide as much information as we can. And typically what we do is we get these decisions and then they have to go through an extent of translation, but we’re trying to provide as much transparency as possible on all the activities in Germany.
David Huff: Okay. I don't if it’s possible. Is there a way to get an alert? So when something new is posted on the website that might be important, German injunction that it'll actually notify shareholders that this happened? It seems like with German litigation and different market opinions, you not going to put out a press release for everything. But I think investors do need to know that some of these things actually exist?
Jaime Siegel: David, in the 21st century, with all of this technology, you come up the first to offer that suggestion, that’s pretty interesting. My gut is yes, but let me run through the control procedures here, but that's a good idea.
David Huff: Right. Okay. Yeah. Just I see market opinions with Biomet last week. In an other party review that came out very favorable yesterday in the Boston Scientific portfolio. Its kind of frustrating that there is only price discovery in a case here four times a year when you have all these different events that effect the business and it's mostly ignored or no one really knows about it.
Matthew Vella: Very, very interesting suggestion and for someone I keep thinking about twitter, but let see what we do.
David Huff: Okay. That's it for me. Thank you.
Operator: This will conclude the question-and-answer session. I’ll now turn the call back to Mr. Matthew Vella.
Matthew Vella: Again, thanks for your support. And we're very excited about the next couple of quarters. We look forward to doing this again in three months. Thanks, everyone.